Operator: Good day! And welcome to MediWound's First Quarter 2024 Earnings Call. Today's conference is being recorded. [Operator Instructions]. At this time, I would like to turn the conference over to Daniel Ferry of LifeSci Advisors. Please go ahead.
Daniel Ferry : Thank you, operator. Welcome, everyone. Today, before the market opened, MediWound issued a press release announcing financial results for the first quarter ended March 31, 2024. You may access that release on the company's website under the Investors tab. With us today are Ofer Gonen, Chief Executive Officer of MediWound, Hani Luxenburg, Chief Financial Officer, and Barry Wolfenson, Executive Vice President of Strategy and Corporate Development. Following our prepared remarks, we will open the call for Q&A. Before we begin, I would like to remind everyone that statements made during this call, including the Q&A session, relating to MediWound's expected future performance, future business prospects or future events or plans, are forward-looking statements, as defined under the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and the results are subject to risks and uncertainties that could differ materially from those forecast due to the impact of many factors beyond the control of MediWound. The company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise. Participants are directed to cautionary notes set forth in today's press release, as well as the risk factors set forth in MediWound's Annual Report, filed with the SEC, for factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. The conference call is property of MediWound, and any recording or rebroadcast is expressly prohibited without the written consent of MediWound. Now, I would like to turn the call over to Ofer Gonen, Chief Executive Officer of MediWound. Ofer?
Ofer Gonen : Thank you, Dan, and good morning everyone. Welcome to MediWound's first quarter 2024 earnings call. Joining me today are Hani Luxenburg, our Chief Financial Officer; and Barry Wolfenson, our Executive Vice President of Strategy and Corporate Development. After our presentation of the financial results and business updates, we will open the call for your questions. During the first quarter, we were laser-focused on executing our strategic plan. At the beginning of the year, we set three major goals. First, to accelerate NexoBrid revenue growth; second, to complete the construction of our new manufacturing facility by mid-year; and third, initiate the EscharEx Phase III clinical trial in the second half of 2024, for which we already established collaborations with the most prominent wound care companies. I am pleased to report that we are on track to achieve all these targets. I am also excited to announce that according to a preliminary list of additions posted on May 24, we are set to join the Russell 3000 Index as part of the 2024 Russell indexes reconstitution. This inclusion will also grant us automatic membership in the small-cap Russell 2000 Index. Being included in these indexes is a significant milestone enabling our visibility and reach within the investment community. Now let's move for the first quarter highlights and recent developments. NexoBrid overview. This quarter has showcased significant achievements for NexoBrid, aligning with our strategic goals. We have secured orders that meet our annual revenue projection of $24 million, with $5 million realized this quarter. In the United States, our collaborations with Vericel has been very productive. Over 60 burn centers have submitted applications to their P&T committees, approximately 40 have received approvals, and more than 30 centers have placed initial orders. Vericel has reported substantial increases in both the number of patients treated with NexoBrid and the number of orders from burn centers and hospitals. Internationally, the adoption of NexoBrid in Europe, Japan and India, through our partnerships with PolyMedics, Kaken Pharmaceuticals and BSV, continue to show promising growth. These markets are instrumental in driving broader interest and use of NexoBrid. Additionally, we have seen a continued increase in demand for NexoBrid in treating military casualties due to the ongoing war in Israel. Dozens of lives of soldiers and civilians were saved. The positive outcomes achieved with NexoBrid have generated interest for many governments for future stockpiling. To meet these surging demands, we are actively enhancing our manufacturing infrastructure. Construction of our new GMP-compliant, state of the art manufacturing facility is progressing on schedule to be completed by mid-2024, with commissioning set to begin in the third quarter of this year. The facility is expected to be fully operational in 2025, increasing our manufacturing capacity six-fold. Regarding additional growth drivers, the FDA has accepted our supplemental BLA for pediatric use, with a decision expected in the second half of this year. It is worth noting that NexoBrid is already approved for pediatric population in Europe and in Japan. Our partnership with the U.S. Army is advancing as planned, focusing on the development of temperature stable formulation for NexoBrid. We anticipate FDA's feedback on the product development path in the second half of this year. This project, bolstered by a $13 million grant from the Department of Defense, underscores the strategic importance of NexoBrid in field care burn treatments. Lastly, we continue to generate further data to support NexoBrid use. Our Expanded Access Treatment Protocol has successfully treated 239 burn patients across 29 U.S. sites. With enrollment and 12-month follow-up now complete, we are ready to begin data analysis, with findings to be published in the second half of 2024. Overall, the increasing global demand and our strategic expansion of the manufacturing capabilities, along with the broadening scope of indications, position NexoBrid to establish a new standard of care in Eschar removal for severe burns. We are very pleased with NexoBrid performance and the ongoing progress in all those areas. Now, I'll provide an update on EscharEx, our innovative bioactive therapy for venous leg ulcers and other chronic wounds. We have successfully manufactured the clinical batches and are on schedule to submit the final protocol for our Phase III trial in the first half of 2024. The trial is set to commence in the second half of this year. The Phase III study, mirroring the successful design of our Phase II trials, will be structured as a multicenter, prospective, randomized, and placebo-controlled global trial. We aim to enroll 216 patients across 40 sites, focusing on two co-primary endpoints, the incidence of complete debridement and the indication of the incidence of wound closure. An interim assessment will be conducted after 67% of the participants complete the trial, providing early insights into the efficacy of EscharEx. This study has garnered significant interest from prominent companies in the wound care space, resulting in established research collaborations with Solventum, Mölnlycke and MIMEDX leaders in compression therapy, advanced wound care settings, and dressings – I'm sorry, and tissue-based products. EscharEx has also attracted a lot of attention at three major annual wound care conferences, The Wound Healing Society, the Symposium of Advanced Wound Care, and the European Wound Management Association. Strong Phase II data was presented, demonstrating EscharEx's superiority over SANTYL, the current market leader with more than $360 million in annual U.S. sales. Recently, there has been a significant discussion about the proposed changes in Medicare reimbursement for cell and tissue-based products. If implemented, these changes will have major impact on the wound care industry and will greatly benefit EscharEx. We are not surprised by these changes. We anticipate that the market share will shift from smaller companies without strong clinical evidence to larger established companies. Additionally, one of the key changes is to limit the number of tissue units that can be applied to a wound, requiring more attention to the condition of the wound bed prior to initiating tissue applications. EscharEx excels in this area. It is not just debridement, but it also quickly prepares the wounds for application of tissue. Our Phase III study is perfectly aligned with this, as we aim to secure a claim for preparing a wound for active closure. Generally, as the market value of tissue therapies decreases, the relative value of biologic drugs with a blockbuster potential will increase. EscharEx, going through a rigorous BLA process, backed by extensive and robust trial data, and entering into a category that has just stable reimbursement for decades, become an even more valuable asset when these policies become effective. In conclusion, EscharEx is poised to become a leader in the biologic sector of the advanced wound care market. Our data to-date showcases its superior efficacy in debridement, wound closure preparation, time-to-wound healing, biofilm removal and bacteria reduction, highlighting its versatility and utility. The comprehensive clinical and health economic data that we are generating in the Phase III study will further solidify EscharEx's strong position within the industry. Now, I'll hand it over to Hani to briefly review our financials. Hani.
Hani Luxenburg : Thank you, Ofer. Let me begin with our revenue for the first quarter. Revenue for the first quarter of 2024 was $5 million, compared to $3.8 million in the first quarter of 2023. The increase is primarily attributed to revenue from Vericel, a new contract with the U.S. Department of Defense. Gross profit in the first quarter of 2024 was $0.6 million, representing 12.2% of total revenue, compared to $0.8 million, representing 21.7% of total revenue in the same quarter in the previous year. The decrease in gross profit is primarily due to changes in the revenue mix. Turning to our operating expenses, R&D expenses in the first quarter of 2024 were $1.5 million, compared to $2.1 million in the first quarter of 2023. This decrease is primarily due to the completion of the EscharEx Phase II study. SG&A expenses in the first quarter of 2024 were $2.9 million, compared to $3.1 million in the first quarter of last year. Operating loss in the first quarter of 2024 was $3.7 million, compared to an operating loss of $4.4 million in the first quarter of 2023. Net loss in the first quarter of 2024 was $9.7 million or $1.05 per share, compared to a net loss of $3.7 million or $0.44 per share in the first quarter of 2023. The increase in net loss is primarily due to financial expenses from revaluation of warrants, amounting to $6.1 million, driven by 40% increase in our share price. Non-GAAP adjusted EBITDA for the first quarter of 2024 was a loss of $2.9 million, compared to a loss of $3.4 million in the first quarter of 2023. Balance sheet highlights. As of March 31, 2024, the company had cash and cash equivalents, restricted cash and deposits totaling $36 million, compared to $42.1 million as of December 31, 2023. During the first quarter of 2024, the company received $0.5 million from the exercise of warrants. The company utilized $6.5 million to fund its activities, of which $2.7 million was invested in CapEx related to the facility scale-up. This concludes the financial review. I will now turn the call back to Ofer. Ofer.
Ofer Gonen: Thank you, Hani. This past quarter, we demonstrated operational excellence, achieving $5 million in revenues from NexoBrid, and progressing towards the completion of our manufacturing facility. This expansion will enable us to effectively meet both current and anticipated demand for NexoBrid. Regarding EscharEx, which targets a highly lucrative $2 billion market, we remain on track to initiate the Phase III trial in the second half of this year. We look forward to working closely with Solventum, Mölnlycke, MIMEDX who are supporting this trial. Their collaboration sets the stage for a successful and reputable Phase III study, ensuring best treatment options are available for patients. With these highlights shared, I'd like to turn back to the operator for any questions you may have. Operator?
Operator: [Operator Instructions] The first question comes from Josh Jennings with TD Cowen. Please go ahead.
Josh Jennings: Hi. Thanks so much for taking the questions, and congratulations on the continued progress. Ofer, I just wanted to ask two manufacturing questions, relatively high level, but maybe you could share some more details. First, on the build-out of manufacturing capacity for an NexoBrid. What are the remaining steps left to complete that project? And then should we be thinking about that plant, that facility ramping up and being cleared and ready to go early in 2025, or could that be sometime in the closer to midyear?
Ofer Gonen: Thank you for your question, Josh. I would like to address this point. As for the facility we guided, that we are about to complete the manufacturing in mid-2024. It means that all the equipment is here, and it was not a trivial assignment. So all the equipment is here. It is now, we are in the final stages of installing it. And once it is done, and we expect it will be done in the middle of the year, which means in the next few weeks, we will start the commissioning process, which means all kinds of validation activities, etc. After that, it will take a few months. We are submitting the facility for approval by EMA and FDA. We do not expect both of them to approve the facility at the same time. We expect that the European authorities will be quicker, which means that I don't have an answer when it will be fully operational. If it will be in the beginning of 2025 or in the mid of 2025, or even in the third quarter of 2025, I think it will be gradual, with the European agency approving it much quicker. And when it is done, we have our capacity – our major bottleneck will be resolved, because we can start immediately manufacture to the European market from the new facility. So in 2025, we will be in a position, definitely toward the end of it, that we have almost no limitations.
Josh Jennings: Excellent. That is helpful. And then just on the last earnings call, you mentioned that there was some initial manufacturing of EscharEx batches for the clinical trial and some stability testing being performed. I am hoping to just get an update on where MediOne stands in terms of EscharEx production or manufacturing for the clinical trial. And if you can just remind us about the formulation, any differences in manufacturing between EscharEx and NexoBrid. And has everything progressed? And it sounds like it has, because you have given time limits for starting this trial, getting the trial approved and ready to roll by mid-year. Thanks a lot.
Ofer Gonen: Yes. So let me elaborate on this aspect. The manufacturing of EscharEx and NexoBrid are not being done in the same suite. It's a different suite of manufacturing. The process of having our clearance from the FDA to start the trial is manufacturing the clinical batches, which was done in Q1. After that, there is a stability time period, which is around 30 days. We do not anticipate any issues with that, because we manufactured many, many EscharEx batches for previous trials or for all kinds of preclinical studies. And immediately after that, and as we guided, which means in the middle of this year or in the first half of this year, which is almost the same, we will be able to submit the final protocol to the FDA with all the data regarding the batches that were manufactured. After that, when we get the clearance, it should be something like after 30 days, 60 days, we will be ready to roll.
Josh Jennings: Excellent. Thanks for reviewing that. I appreciate it.
Operator: The next question comes from Francois Brisebois with Oppenheimer. Please go ahead.
Francois Brisebois: Hi, thanks for the questions. Just to follow-up on the previous one. In terms of being fully operational in 2025, that six-fold capacity, so that's the part that might be gradual. Is it fair to assume that the six-fold will be gradual to get there? Can you just elaborate a little bit on where demand is currently versus capacity?
A - Ofer Gonen: Hi, Frank, and thank you for the question. It's an important topic. So currently, the demand is the same as we mentioned last quarter. It is approximately three-fold in our ability to manufacture. So if you need to anticipate what's the step-up in our manufacturing capabilities, I would currently let's assume it's a 1x. After we get the European approval, it becomes 2x, because we can manufacture everything for Europe in the new manufacturing facility. Still, the manufacturing capabilities for the United States and from Japan, which are very significant markets, still will be done in the previous manufacturing facility until we get the approval from the FDA. But the bottleneck now that makes us juggle between all kinds of customers and patients that need a solution, we believe the main bottleneck will be removed in the beginning of 2025.
Francois Brisebois : Understood. And then in terms of the interim analysis, can you help us understand the implications there? What that means? Is there a chance that the interim analysis with overwhelming efficacy would just end the trial, or just what are the different scenarios from this interim analysis?
Ofer Gonen: Thank you for the question. So the interim analysis will not stop the trial. A Phase III study for such a huge indication, we're speaking about 1 million patients annually in the United States. A Phase III study with 216 patients is considered very small. I do not anticipate FDA to approve a drug based on a Phase III study with only 140 patients. The reason that we are doing an interim assessment, it's just an assessment for the sample size. If we see, currently the trial is planned for 90% power for succeeding in the trial in both primary endpoints. We want to make sure that after 140 patients, we are on track to achieve that. If we need to increase the number by, I don't know, 20 patients, 30 patients, to be sure that we are going to succeed in the trial, it will be done. Most probably, that after the interim analysis, we will continue the trial as planned without changing anything.
Francois Brisebois : Thank you.
Operator: The next question comes from RK at HC Wainwright. Please go ahead.
Swayampakula Ramakanth : Good morning, Ofer. How are you doing? Thanks for taking my questions. In your prepared remarks, you said you have secured orders for $24 million from Vericel. Do they have a minimum every year or how are these orders set up?
Ofer Gonen: Well, I didn't say that we secured $24 million from Vericel. We said we secured $24 million for the year 2024. Vericel is only one of our revenue channels. We have an agreement with Vericel. They tell us in advance how much they anticipate for the year. We didn't disclose the number and they are getting it as they request. For 2024, for instance, we already got the binding order for Vericel. Some of it was already shipped to them and some of it is being manufactured.
Swayampakula Ramakanth : Thank you for that. In terms of the next data that you are planning to publish, so would we see some of that this year or do you expect it next year? How is that going to help in reimbursement and also in your conversations with private payers?
Ofer Gonen:  Are you speaking about NexoBrid?
Swayampakula Ramakanth : Yes.
Ofer Gonen: Okay, so don't hold your breath. We are going to with 239 patient data that we are about to share in the second half of the year. Our patients are treated in real life. I wouldn't expect something different than what we saw in the Phase III study. The efficacy of NexoBrid is so robust. You saw it in the trial, 93% versus 4%. So it will be very robust. I do not expect anything different than what we saw. As for the impact on the reimbursement, Vericel is doing a great job in having this treatment approved by P&T committees in hospitals in a specific price. I think it won't make a change at all.
Swayampakula Ramakanth : Okay. In terms of EscharEx, now that you have all your material ready for the start of the study, is there any other approvals or conversations needed between you and the FDA before you start the study, or is it just IRB approvals that you are waiting for to get the study going?
Ofer Gonen:  So the process is quite clear. Since we manufactured the clinical batches and are waiting for stability, it's only 30 days. Let's assume it will be done in the next couple of weeks. After that, we submit a protocol that we already got guidance and approval from EMA and FDA. We’ll submit the protocols. Unless there is something which is very different than what we agreed on, we will get clearance or no objections in the next 30 days following the submission. After that, the IRBs, it's also something technical. I wouldn't expect – we do not expect any delay in our guidance of initiating the trial in the second half of this year.
Swayampakula Ramakanth : Okay. Thank you very much. Thanks for taking all my questions.
Ofer Gonen: Thank you, RK.
Operator: The next question comes from Michael Okunewitch with Maxim Group. Please go ahead.
Michael Okunewitch: Hey, guys. Thank you so much for taking my questions today.
Ofer Gonen: Hi, Michael.
Michael Okunewitch: I guess first off, just to talk about the Medicare changes that you mentioned earlier, in your Phase III, will you be looking at the difference in the number of required tissue applications just to potentially have data addressing those claims directly?
Ofer Gonen: It's a great question. Barry, can you please address it?
Barry Wolfenson: Certainly, we will be capturing – we're not going to change the protocol of our study in anticipation of any changes that are being made in Medicare, but we will absolutely capture the data in hopes that it's reflective of where those changes land. I think one of the benefits obviously in the study, is that we get this head start. And so, as the wounds get to be completely debrided and completely covered with granulation tissue, we get to start with active closure sooner and it stands to bear, given the data that already exists in the published literature, that there's going to be more that close in our arm, and close with these limited number of tissues in four, than there would be in the control arm. So either way, we stand to benefit.
Michael Okunewitch: All right. Thank you. And then with regards to the Phase III, now that you're getting pretty close to getting that started, do you have any updated expectations regarding the enrollment rate and the time to add interim data?
Ofer Gonen: So, with the low number of patients that we anticipate to recruit, the 216 patients, and also we have limited competition. Look at clinicaltrial.gov, you will not find clinical trials with VLU patients. We are confident for a very quick patient enrollment. It should take us, after a six-month startup period, it would take us an additional 18 months to finish in executing the protocol.
Michael Okunewitch: All right. Thank you very much. And then just one last one from me as a point of clarification. Have you met with the FDA on the temperature-stable DOD formulation and are waiting for feedback, or are you still expecting to meet with them in the next couple weeks?
Ofer Gonen: This is a great question. So, as I told earlier, we got quite a significant funding from the DOD to develop this temperature-stable formulation. We already approached the FDA regarding the product development path, and we are anticipating the feedback, which will be in the second half of 2024.
Michael Okunewitch: Thank you very much.
Ofer Gonen: Thank you.
Operator: This concludes our Q&A session. I would like to turn the call back over to Ofer Gonen for closing remarks.
Ofer Gonen : So, thank you everyone for joining us today. We look forward to updating you again in our next quarterly call.
Operator: The conference has concluded. Thank you for attending today's presentation. You may now disconnect.